Operator: Welcome to ITT's 2018 Second Quarter Conference Call. Today is Friday, August 3, 2018. And starting the call from ITT today is Jessica Kourakos, Head of Investor Relations. She is joined by Denise Ramos, Chief Executive Officer and President; and Tom Scalera, Chief Financial Officer. Today's call is being recorded and will be available for replay beginning at 12 p.m. Eastern. At this time, all participants have been placed in a listen-only mode and the floor will be opened for your questions following the presentation. It is now my pleasure to turn the floor over to Jessica Kourakos. You may begin.
Jessica Kourakos - ITT, Inc.: Thank you, Lorrie. I'd like to highlight that this morning's presentation, press release, and reconciliations of GAAP and non-GAAP financial measures can be found on our website at itt.com/ir. Please note that our discussion this morning will primarily focus on non-GAAP or adjusted measures, including adjusted segment operating income, adjusted margins, and adjusted EPS, unless otherwise indicated. During the course of this call, we will make forward-looking statements, as defined in the Private Securities Litigation Reform Act of 1995. No forward-looking statements can be guaranteed, and actual results may differ materially from those projected. We undertake no obligation to publicly update any forward-looking statement whether as a result of new information, future events or otherwise. Forward-looking statements made on this call should be evaluated together with the risks and uncertainties that affect our business, particularly those disclosed in our SEC filings. So, now, let's turn to slide number 3 where Denise will discuss our results.
Denise L. Ramos - ITT, Inc.: Thank you, Jessica. So, good morning, everyone, and thank you so much for joining us today to discuss ITT's record second quarter financial results. But before we jump into earnings, let me take a few moments to highlight the announcements that we made yesterday. You have probably already read that I have decided to retire as CEO in January 2019 and that our Chief Operating Officer, Luca Savi, has been named President and COO. He will succeed me as CEO in January. Over the past few years, ITT has built a very strong foundation and a track record of performance. And as a member of the ITT leadership team, Luca has helped shape and execute many of the strategies that have been essential to our ongoing performance. He has a proven track record of leading innovation, business and market growth, and operational excellence, both at ITT and in other roles throughout his career at companies such as Honeywell and Royal Dutch Shell. When you think about building on our foundation, Luca is best positioned to power ITT on the next part of our journey to drive our legacy of profitable growth and value creation. After joining ITT in 2011, he helped transform our Motion Technologies business, developing strong operational capabilities, growing revenue by 55%, leading global expansion, and driving customer-centric innovations such as the ITT SMART Pad. Since being named ITT's COO in 2017, he has been deeply involved with each of our businesses, helping each one to fine-tune operations with tailored strategies and driving significant progress. The strong results that you've seen us deliver over recent quarters and that you'll see more of today have been solidly influenced by his contributions. I'll be happy to answer any additional questions during Q&A. But, for now, let's move to the significant operational and strategic progress we delivered in the quarter. On the heels of a very strong first quarter, we delivered several new quarterly records, including revenue, segment operating income, and EPS. In addition, segment margins improved 130 basis points to a record 15.5% and working capital as a percent of sales improved 170 basis points. And in many performance categories, we delivered solid double-digit growth compared to the prior year. Total revenue was up 10%; total orders, up 18%; segment OI, up 21%; and EPS, up 26%. The underlying growth was broad-based as organic revenue improved 7%, with all segments growing 5% or better; and organic orders improved 15%, with all segments growing 6% or better. As I reflect on our Q2 performance, it is clear that the significant progress we've made in our 2018 strategic focus areas of execution, growth in innovation, and effective capital deployment have not only propelled us to strong 2018 growth, but they have also provided a very strong foundation for continued growth in the years ahead. So, let me start with our execution highlights for the quarter. In Q2, Industrial Process and Connect & Control Technologies, each produced margin improvements of around 300 basis points. IP's productivity enhancements, supply chain actions, restructuring benefits, and project execution improvements, all contributed to IP's 51% growth in adjusted operating income and their 350-basis-point improvement in operating margins. CCT produced 31% adjusted operating income growth and 280 basis points of margin improvement. These results were driven by productivity, supply chain, benefits from the combination of the CCT leadership team, and favorability versus prior-year military connector impacts. As we look ahead, not only do we continue to expect triple-digit margin increases from both IP and CCT in 2018, but we also anticipate significant gains over the coming years, as we further rationalize operations and implement our management system across our global footprint. And as more of our innovation and growth initiatives drive the top line, this volume benefit will only add to the already significant operational upside we see ahead of us. In the strategic focus area of growth and innovation, we once again made significant progress. In the quarter, Motion Technologies continued its track record of gaining share across multiple global market categories. Motion Tech won 22 new friction platform awards, including 9 for front axle, 4 for EV and hybrid, and 16 for China. And keep in mind, all of the awards we won in the first half of 2018 continue to feed the $3 billion in OEM friction awards we introduced last quarter. CCT's intensified focus and investment in driving innovation has enabled this business to grow organic orders 19% and gain share in a variety of strategic areas. In rotorcraft, in addition to the recent OEM share gains, we're now beginning to win share in the attractive aftermarket. And in EV charging stations, connector orders grew 141% with multiple awards, including a win for Electrify America. Lastly, turning to capital deployment. In the second quarter, we invested in the operational transformation of our pumps manufacturing in our IP Seneca Falls facility. I just toured the production reset with Luca and the IP team, and I believe that this effort is nicely on track to deliver significant efficiency improvements. We also continued to ramp up our state-of-the-art North American friction facility, as production started to roll off the line in Q2. And in Italy, we are constructing a new R&D innovation center that is focused on progressing the ITT Smart Pad development and enhancing our premier customer experience. I'd also like to highlight here that last week we closed on the sale of a former connectors operating site generating net proceeds of approximately $40 million. This was a tremendous team effort that successfully converted an unused facility into additional capital for future ITT growth. As a result of our advances in our three strategic focus areas, we are raising our organic revenue growth range to 3% to 5%. In addition, we are once again raising our full-year adjusted EPS guidance. Our new EPS midpoint of $3.10 per share reflects 20% growth versus the prior year. The $0.05 midpoint increase is driven by improved volumes and operational execution. And our EPS guidance update would have been even stronger, if not for the new foreign currency headwinds. I'm very proud of the comprehensive results that our dedicated people delivered. It is through their efforts that we continue to improve our operations, drive innovation, and delight our customers. Without their strong focus on our customers and on execution, none of these record results would be possible. I'm truly proud of the amazing company we've collectively built since our creation nearly seven years ago. So, now let's turn to slide 4 to discuss our second quarter financial results in more detail. In the second quarter, we delivered strong growth across multiple performance categories. So, let's start with orders. Total orders increased 18%, or 15% on an organic basis. Now, what's important to note about this performance is its broad-based strength. At IP, we delivered 70% project order growth on chemical and oil and gas strength. And we produced 12% short-cycle order growth on gains in all major end markets. At Motion Tech, we continued to see strong global automotive friction results, led by 9% growth in OEM demand. And at CCT, the 22% growth in aerospace and defense included double-digit growth in both components and connectors. In summary, the Q2 orders picture shows a very solid quarter with healthy, broad-based, global demand. And as a result, our total backlog has increased 12% or $109 million since the beginning of 2018 on a constant currency basis. This is providing us additional visibility into the second half of 2018 and into 2019. The 7% organic revenue growth was driven by an 8% increase in the transportation end market. Motion Tech was the biggest contributor here, as global OEM friction growth accelerated from 9.5% growth in Q1 to 15% growth in Q2. This OEM strength was partially offset by anticipated aftermarket weakness in Europe. So, let me stop here and provide some additional context on our exceptional friction OEM share gains in the quarter. ITT friction OEM grew 15% in Q2, compared to global auto production growth of 4%. So, here's our results by geography. In Europe, we grew 8%; the market grew 5%. In China, we grew 26%; the market grew 9%. In North America, we grew 16%, and the market declined 2%. So you can see we're continuing to outpace the global auto markets due to our strong execution, advanced automation, and market-leading friction technology that have powered our share gains across multiple geographies and multiple long-term platforms. Revenue in industrial markets grew 8%, driven by a 22% increase in chemical and petrochemical that reflected project and short-cycle strength across multiple geographies. Oil and gas, which represents 10% of ITT's total revenue, was down 7%, primarily driven by lower upstream project activity in the Middle East and lower base pump sales, partially offset by a 25% increase in oil and gas connectors. Q2 segment operating income grew 21% and reached a quarterly record level of $108 million. Record margins of 15.5% reflected volume benefits and operational execution driven across ITT by Luca. EPS of $0.82 per share also hit a new all-time high, exceeding expectations and growing 26% compared to the prior year. The EPS performance reflects the strong segment growth that included favorable FX and a lower non-U.S. tax rate partially offset by higher corporate costs. Lastly, it is important to note that we once again funded an incremental $0.04 of long-term strategic investments, primarily supporting automotive platform wins, continued development of the ITT Smart Pad and rotorcraft share gains. Now, let's turn to slide 5. Our intensified focus on execution continues to generate significant margin momentum. The operational margin expansion of 110 basis points was primarily driven by volume increases across each of our segments as well as significant operating productivity, including supply chain and restructuring actions. Other drivers of margin expansion included improved project performance at IP. And at CCT, we achieved another double-digit margin quarter in our connectors operation that produced their strongest result since 2014. At MT, Wolverine produced 520 basis point of margin expansion due to significant net productivity gains generated by its strengthened operational foundation. With commodity costs being an important part of the margin story, particularly at MT, let me take a moment to discuss our exposures and our mitigation strategies. With respect to U.S. Section 232 related tariffs on steel and aluminum, as we stated last quarter, ITT procures most of its raw materials, primarily steel, in Europe for our European MT operations. So these steel tariffs are less of a concern for us. Now, that said, global steel prices are a meaningful MT headwind that we believe we're managing well. With respect to the broader question of tariffs related to the existing $50 billion in Section 301 tariffs on manufactured goods from China, we project a gross second half 2018 exposure of approximately $5 million. We are proactively managing both the direct and indirect impacts from these tariffs, but also recognizing the situation is highly fluid. However, we currently plan to offset the existing tariff impacts and the impacts of higher input costs in 2018 through the following actions. We are and we will continue to selectively raise prices at IP, CCT and MT Wolverine. We will utilize manufacturing facilities that are best-positioned to produce for local markets. We will drive incremental supply chain actions. And we will continue to engage in incremental supplier negotiations and diversification strategies. So, with all that said now, let me reiterate my views on our overall Q2 results. We had a great quarter, record quarter, and one that truly enhances the operational and strategic foundation of this company for long-term growth. We've made tremendous progress in establishing a strong operating framework that enables ITT to gain share through enhanced competitiveness in the performance categories that are most essential to our customers. And today, our end-market demand is strengthening in areas like chemical, petrochemical, aerospace, rotorcraft, electric vehicles, biopharm, and oil and gas, all of which have tailwinds at their back. So, as we continue to improve our operational execution, it will enable us to capture increasing share in this improving end-market landscape. On the margin front, our record Q2 margins of 15.5% were terrific. And for the full year, we are now forecasting our margin expansion to be at the high end of our previous guidance range of 100 to 150 basis points. In addition, we know that we have many more opportunities ahead for continuous operational improvement. And lastly, from a cash flow perspective, the 170-basis-point improvement in working capital we saw in Q2 gives us confidence that we can achieve a third straight year of strong cash flow conversion in the high 90% range. This strong cash flow production fuels our investment in global growth and innovation, including EV solutions, the ITT Smart Pad, mission-critical rotorcraft components, enhanced i-ALERT sensors, and advanced twin-screw pumps, just to name a few. So, let me wrap up by saying that today's ITT is fully engaged in capturing the operational and strategic opportunities of the future by leveraging the solid foundation of today. So, with that, I'd like to turn it over to Tom to discuss the second quarter segment results and our updated guidance.
Thomas Scalera - ITT, Inc.: Thank you, Denise. Starting with Motion Technologies on slide 6. Total revenue increased 14% to $330 million and organic revenue increased 7%, driven by global strength in OEM friction that was partially offset by anticipated softness in the European aftermarket due to customer phasing and destocking. As Denise indicated, friction OEM grew 15% versus global market growth of 4%. KONI sales grew by 10% on momentum from China high-speed rail share gains and improved demand in Western Europe. And Wolverine grew 3% on strong aftermarket shims in China, partially offset by unfavorable OEM phasing. Segment operating income at MT increased 9% to $57 million. The income growth reflects volume leverage, increased productivity, and favorable foreign exchange, partially offset by price, unfavorable aftermarket mix, higher commodity costs, and $3 million in strategic investments. Q2 MT margins slightly exceeded our internal expectations and included a 520-basis-point improvement at Wolverine on strong net productivity gains generated by the strengthened operational foundation that the team has been steadily building since the acquisition. Moving on to Industrial Process on slide 7. Q2 IP total revenue improved 6% to $203 million on 5% organic growth. Short-cycle activity representing 79% of IP's revenue was up 8%, a very strong growth seen in baseline pumps and valves that included double-digit growth in general industrial, chemical, and mining markets, partially offset by lower oil and gas. Project activity declined 3%, a solid global petrochem, offset by lower Middle East upstream oil and gas projects. Organic orders at IP were up 24% on solid double-digit order growth in both projects and short-cycle. The plus-70% project strength was driven by significant growth in oil and gas and chemical projects. And the overall Q2 project funnel was up 51% year-over-year, including a 100% improvement in both oil and gas and chemical activity. The 12% short-cycle order improvement included double-digit gains in chemical, mining and general industrial markets, and growth in excess of 8% in all product categories. As a result, the IP backlog, excluding foreign exchange impacts, has improved 11% or $43 million since the beginning of 2018. On the innovation front, in the quarter, we expanded our i-ALERT sensor offering by adding pressure sensors to a revolutionary equipment monitoring technology. And at Bornemann, we launched a new hermetically-sealed high-capacity twin-screw pump for the chemical and petrochemical markets. Bornemann is well known for its highly advanced pumping technology and there are a number of interesting under-served applications that we plan to tap into like this one. And today, our twin-screw pump backlog has grown 40% sequentially in Q2 while the project's funnel has tripled since the beginning of the year. IP's segment operating income increased 51% to $23 million. The increase was driven by higher volumes, favorable mix, short-cycle price, restructuring savings, productivity, and improved product execution. Compared to the prior year, margins improved 350 basis points to 11.5%. IP remains on track to deliver strong margin expansion in 2018, despite the current tariff headwinds. IP has implemented pricing actions to offset those headwinds and we anticipate additional benefits from the Lean transformation in Seneca Falls as well as incremental supply chain actions. Next, let's turn to Connect & Control Technologies on slide 8. In the quarter, CCT revenue increased 10% to $164 million, an 8% organic growth. The improvement was driven by 11% growth in aerospace due to interior and engine component demand, and triple-digit growth in rotorcraft on share gains. In addition, oil and gas connectors improved 25%, an increased activity in North America and the Middle East. These improvements were partially offset by a 1% decline in general industrial due to reduced component activity in the power market. CCT's organic orders improved 19%, representing the highest order quarter ever in CCT's history. The growth was driven by a 22% increase in commercial aerospace orders, led by aero components and environmental control systems. Defense also grew 22%, led by connectors, which reflects favorable global defense market trends. In oil and gas, we delivered a 73% improvement in orders due to higher oil prices driving demand for our well-head connectors in the Middle East and North America. Segment operating income increased 31% to $28 million, representing margin growth of 280 basis points over the prior year. The segment operating income growth primarily reflects volume benefits and improved net productivity, including restructuring benefits from the integration of the CCT leadership team. In addition, growth benefited from a favorable comparison to prior-year military specification-related costs. So, with that, let's now turn to our 2018 guidance update on slide 9. We continue to expect total revenue to be up 5% to 8% due to an incremental second half foreign exchange top line headwind of $51 million compared to our prior forecast. This is based on a euro-dollar exchange rate of $1.17. However, based on our strong year-to-date organic revenue and order growth, we are increasing our previous organic revenue growth range of 2% to 4% to the new range of 3% to 5%. Today, we see that demand is strengthening in some of our major end markets, including chemical, petrochemical, aerospace, rotorcraft, electric vehicles, biopharm, and oil and gas. And as we continue to improve our operational execution, it will enable us to capture increasing share with strong incremental margins in this improving end-market landscape. So, on the margin front, we are now forecasting our margin expansion to be at the high end of our previous guidance range of 100 to 150 basis points. In addition, the 170 basis point improvement in working capital in Q2 gives us confidence that we can achieve another year of strong cash flow conversion in the high-90% range. So, as a result of the more constructive outlook on our end markets and the improved confidence in our operational execution, we are raising the low end of our previous adjusted EPS guidance by $0.10 and the midpoint by $0.05 to $3.10, representing 20% growth. The $0.05 midpoint increase reflects our ability to more than offset our current assessment of tariff headwinds, cost inflation, and an incremental $0.08 of new foreign exchange headwinds, with improved volume benefits and execution. And lastly, I'd like to provide some insights into our Q3 expectations. We expect total revenue to decline compared to Q2 due to incremental Q3 foreign exchange headwinds of approximately $26 million, primarily impacting Motion Technologies. However, total organic revenue growth is expected to be generally in line with Q2 levels. Total segment margins are expected to decline modestly compared to Q2 due to increased project activity at IP and CCT mix pressures. MT margins are expected to improve sequentially from Q2 and all segment margins are expected to improve nicely compared to the prior year's third quarter. Q3 corporate costs are expected to be relatively in line with Q2 levels. And lastly, Q3 adjusted EPS is expected to decline from Q2 2018 and align more with Q1 2018 levels, representing solid growth compared to Q3 2017. So, in summary, we delivered a solid first half that reflected strong execution and the acceleration of our strategic growth priorities. And as a result, we are raising our organic revenue and EPS guidance to specifically reflect that performance. So, now, let me turn it over to Lorrie to start the Q&A session.
Operator: Your first question comes from the line of Matt Summerville of D.A. Davidson.
Matt J. Summerville - D.A. Davidson & Co.: Thanks. Morning, and congrats on the transition. A couple of questions. First, on the automotive aftermarket side of friction, when should we anticipate a reacceleration in that side of the business? And to what extent has that had, or maybe quantify if you can, the dampening impact that that's had on MT operating margins year-to-date?
Thomas Scalera - ITT, Inc.: Yeah. Matt, so in the quarter, probably hit us by about 50 to 60 basis points, the mix pressure from the aftermarket being down in Q2 versus kind of our expectations coming into the quarter. So, a little bit of pressure. We've been talking about that all year. We have seen some destocking with some of our key customers as they're resetting their service footprint. We do expect that that activity will moderate in the back half of the year and it'll be one of the drivers of the margins improving as we go from Q2 into Q3. And on the independent aftermarket side of the aftermarket, which is about a third of that overall volume, we do expect those levels to increase as the year goes on and get on track for the full-year expectations on the independent aftermarket side. So, a couple customer dynamics. And the other two-thirds of the aftermarket that are going to impact us, perhaps less in the second half than in the first half.
Denise L. Ramos - ITT, Inc.: I think, Matt, the other thing important to say or to note is that, as we go forward, when you think about the aftermarket besides just thinking about the aftermarket in Europe, we're also looking at expanding our global growth in the aftermarket. And that's going to take some time to do that. But we've dipped our toe in China in trying to assess how we could potentially play in that market. We have a distributor there. So, low right now, but that's a potential growth area for us. And then we're also looking at potentially expanding our product lines within Europe. So, those are two things that could help us as we go forward. The other thing is with the OEM gains that we've been having, that will naturally translate into additional OES volumes for us as we go into the future.
Matt J. Summerville - D.A. Davidson & Co.: Thank you for the color there. And then just, as my follow-up, can you talk about the quality of project backlog you're seeing in the IP business. You mentioned to anticipate perhaps a sequential dip in margins as projects start to ramp up. And maybe in the context of that, walk through some of the major changes you've put in place to ensure basically that you're doing good business there that makes economical sense. Thank you.
Denise L. Ramos - ITT, Inc.: Sure. In terms of the project business for IP, let me first start by saying that the market pricing really hasn't changed for that. But what we've done internally, with how we execute against these projects and how we're doing that and the process that we've put into place, we're now more confident that we'll be able to get stronger margins with that as we go into the future. So I think that that's a critical component here. So we see more upside than downside from a new project execution perspective. And so, because of that, we should see some better margins resulting when those projects actually flow through.
Thomas Scalera - ITT, Inc.: Yeah. And, Matt, just as it relates to kind of the Q3 commentary, we just see a much bigger delivery pattern in Q3. We're up about 3, 4 points on the project weighting in Q3 compared to Q2. So there are good quality projects that we're executing well. We've implemented a lot of changes in the way that we book these projects and the way we manage our supply chain, and have a lot of rigor around the execution of these projects. So we feel real good about the progress we've made. There's certainly more opportunities ahead. But the mix impact of projects in Q3 is because of significant numbers of deliveries, not because we're dealing with any troubled projects.
Matt J. Summerville - D.A. Davidson & Co.: Got it. Thank you, guys.
Operator: Your next question comes from the line of Jeff Hammond of KeyBanc Capital Markets.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Hey. Good morning.
Denise L. Ramos - ITT, Inc.: Good morning.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Congratulations, Denise. It's great to...
Denise L. Ramos - ITT, Inc.: Thank you.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Just back on MT, I guess, looks like you have tougher comps in the second half. Maybe just give us a better sense of how you see organic growth shaping up. And then, just in Europe, there seems to be some noise around this WLTP and maybe some softening in Europe. Just give us a sense of what you're seeing on the OE side in Europe auto.
Thomas Scalera - ITT, Inc.: Yeah. Jeff, so we haven't seen any direct impacts of the WTLP (sic) [WLTP]. We do see that it's in the marketplace but it's not something that we've identified as an impact on the demand patterns from our particular customers. So I think, generally speaking, Motion Technologies continues to be strong. You saw the activity that we delivered in the quarter, but we also had a solid July from a revenue and orders perspective that were right in line with our forecast coming into the quarter. So we'll certainly watch what's happening in Europe. It's an important market for us, as you know it. And I think what we've seen there is a little lower activity, but nothing I would say that's meaningful. Basically, our expectations coming into the year in North America and China, we're exceeding those expectations. So, on balance, Motion Tech is pretty much in line with what we expected coming into the year with just some geographic rebalancing. But that's the nature of kind of where we are right now where we're much bigger than just a European player.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: And then just organic growth trajectory in MT given the comps?
Thomas Scalera - ITT, Inc.: I think again, Jeff, just it's in line with what we said coming into the year. So we haven't really given any specifics on the organic revenue growth by segment. But, generally speaking, the second half of the year, growth rates had always been planned to be a little bit lower than the first half growth rates. That's consistent with also what we're seeing in Wolverine and Axtone, which are other important parts of the MT storyline. So I don't think anything has really changed from our expectations coming into the year. We'd always planned on having the second half growth rates be a little bit less than the first half growth rates.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Okay. And then, just on IP, nice inflection there in the orders. Just talk about what you're seeing behind that in terms of funnels, particularly in that oil and gas and chemical. And just maybe just on the order dating, how much this gives you visibility into 2019? Thanks.
Denise L. Ramos - ITT, Inc.: Project funnel has been good. So the project funnel, when we looked at it at the end of July, is basically up overall, about 63%, and it's really been broad-based. So, from a oil and gas perspective, we're up about 125%, 130% in the downstream; upstream about 32%. But some of our strong markets on petrochemical, up about 78%, mining's up, general industrial is up. So, nice acceleration that we've seen this year and even an acceleration from what we had in Q1. From a geographical perspective, strong in North America, up about 200%. And then we're seeing good growth also in Latin America and the Middle East. So, from a project funnel perspective, we're feeling very positive about where we are.
Thomas Scalera - ITT, Inc.: Yeah, Jeff. And we're also pretty much on track to – as we think about what carries into 2019, we're seeing pretty good flow-through there and kind of on track to already have in backlog half of next year's revenue expectation on the project side, if not more.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Okay. Thank you.
Operator: Your next question comes from the line of Joe Ritchie of Goldman Sachs.
Joe Ritchie - Goldman Sachs & Co. LLC: Thanks. Good morning, everyone, and congratulations, Denise.
Denise L. Ramos - ITT, Inc.: Thanks, Joe.
Joe Ritchie - Goldman Sachs & Co. LLC: Maybe just touching on that IP question for a second. Really nice to see your order trends above $200 million in the last couple quarters. It sounds like you're very bullish on the outlook and your pipeline seems to suggest it. Are we going to get to the point now where we should start to think about orders in that $250-million-plus category over the next few quarters, or how are you guys thinking about it internally?
Thomas Scalera - ITT, Inc.: Yeah. Joe, I think we see these positive trends in the market. But one of the things we've been talking a lot about is really this focus on going after the right projects and being able to execute against those projects and deliver solid margins and solid execution. So, while we're seeing the funnel intensity strong, I think the way we look at it right now that just gives us more opportunities to focus where we want to play, and to align with our best capabilities to kind of continue to protect and deliver the margin-type performance that we've been producing as of late. So I wouldn't say that we have a specific target or expectation. I think we're being very careful and thoughtful. We're not in a mode where we need to generate volume to fill our facilities. We have a very efficient footprint within IP, and I think that, combined with a strong funnel and a really good recent track record of performance, is allowing us to be very selective in where we want to play with this opportunity set.
Denise L. Ramos - ITT, Inc.: Yeah. I think it's important to also note that projects are lumpy. So, especially some of the large ones, you can get some of them in one quarter and not in another quarter. And a lot of the projects that we've been seeing, I would call sort of medium-size projects that flow through. But what can really spike the orders in one quarter could be one large project that comes through. So we'll have to be careful with how we interpret going forward. But, again, funnel looks good, and we hope that some of those can come through in the back half of the year.
Joe Ritchie - Goldman Sachs & Co. LLC: Fair enough and appreciate the color. One of the things that stood out also this quarter was just the improvement that you guys have continued to see on the connector margins. And so, nice to see those margins back up to 2014 levels. Before you guys did the move to Nogales, I recall you talking about 250 to 300 basis points of slight higher type margins in that business. And just any update that you can provide on that business now and what you see for the trajectory there would be helpful.
Denise L. Ramos - ITT, Inc.: Yeah. Let me start by saying that we're really happy of the performance of that Nogales facility at this point. We have effectively worked through those operational issues. We are seeing really good margins there. But that doesn't mean we don't still have opportunities for improvement. And we're going to continue to drive for that and continue to improve margins across the whole connector landscape going forward. And we see a lot of opportunities there to be able to do that. So, Tom, do you want to comment about where we're projected to go for that?
Thomas Scalera - ITT, Inc.: Yeah. For CCT, the segment overall, we've been identifying or targeting kind of a high-teens margin plus long-term target. The growth in connectors is a big piece of that equation. And I think we're seeing improvements again, as Denise mentioned, not only in Nogales, but in some of our other operating locations inside of the connectors footprint. And I would say, equally as important to the margin expansion is the reaction we're getting from our customers. As they're coming in and they're seeing the facility and the investments that we've made, particularly in Nogales, that is allowing us to target share opportunities and to start to grow again with our customers on the top line. So we put all that together and that's going to be a key part of the equation for CCT going after its long-term margin entitlement opportunity.
Joe Ritchie - Goldman Sachs & Co. LLC: Got it. Thanks, everyone.
Thomas Scalera - ITT, Inc.: Thanks, Joe.
Operator: Your next question comes from the line of Damian Karas of UBS.
Thomas Scalera - ITT, Inc.: Hi, Damian. You may have us on mute. Hello, Damian? Lorrie, maybe we'll switch over to somebody else and come back to Damian later.
Operator: Your next question comes from the line of Brett Linzey of Vertical Research.
Brett Logan Linzey - Vertical Research Partners LLC: Hi. Good morning, everyone, and congrats to Denise.
Denise L. Ramos - ITT, Inc.: Thanks, Brett.
Brett Logan Linzey - Vertical Research Partners LLC: Yeah. I just want to come back to IP. I mean, very good operational execution really through the first part of this year. I guess, given the structural changes you've made to that business both on the cost side and the remixing the more aftermarket, what do you think about the margin entitlement there as we look over the next couple years here?
Denise L. Ramos - ITT, Inc.: IP, we went through a lot of restructuring when the oil and gas downturn took place and that was very necessary to do that. And there was a lot of costs takeout that came at that point in time. But what we've been focused on over the past, I'd say, year, year-and-a-half is more just improving the general fundamentals of the business. So, we've been working on project execution. We see opportunity from an operational perspective to continue to improve and drive additional productivity. We've got our Seneca Falls Lean transformation, which is underway, and we're basically taking the core facility that we've had in that business and we're implementing Lean in a very smart way there. And so we started with one line there, the EMC (44:41) line, and we're going to continue it into the other product lines in that facility. So we have a lot of opportunity to continue to improve the operations of IP and make it a much stronger foundation, do better with our customers from an on-time delivery quality perspective going forward. And so, all of that is going to translate into margins that will be, over time, about 15%-plus. And as we get into this and as we see more opportunities, we continue to say, well, can we do more, can we do more. So, that's going to be a nice trajectory for us as we go forward. And we'll just continue to drive the operational performance of that business.
Brett Logan Linzey - Vertical Research Partners LLC: Okay. Great. And then, just shifting to Motion Tech, you mentioned the awards in the quarter continue to feed that $3 billion. Any sense or benefit the 22 awards in the quarter has to that number as an incremental $50 million, $100 million? Any color you can give us there on a rolling update?
Thomas Scalera - ITT, Inc.: Yeah, Brett. So the way we're thinking about it, the order patterns in automotive are very erratic. So it's hard to kind of get into the quarter-to-quarter, year-over-year, because there are just periods where awards are taking place and other periods where they're not, based on the customer dynamics. So the way we kind of dimensionalize the 22 really is, is we look at it relative to the expectations we had coming into the year, looking at when these competitions were going to take place. And basically, on a year to-date basis, we're at about 63% of our full-year target for award wins in Motion Technologies on the OE front. So we feel positive about the win rate that it's ahead of our projections coming into the year at this point. And that is all additive to the $3 billion that we've talked about. So, that's about as much perspective. Probably on an annual basis, we'll give kind of updates as to how it progresses. But the best indication is, is how we're doing relative to our targets coming into the year.
Brett Logan Linzey - Vertical Research Partners LLC: Okay. Great. I'll pass it along.
Thomas Scalera - ITT, Inc.: Thanks, Brett.
Operator: Your next question comes from the line of Nathan Jones of Stifel.
Nathan Hardie Jones - Stifel, Nicolaus & Co., Inc.: Good morning, everyone.
Denise L. Ramos - ITT, Inc.: Morning, Nathan.
Thomas Scalera - ITT, Inc.: Hey, Nathan.
Nathan Hardie Jones - Stifel, Nicolaus & Co., Inc.: Congratulations on the impending retirement, Denise, and thanks for all the time you've given me over the years.
Denise L. Ramos - ITT, Inc.: Thanks, Nathan. Appreciate it.
Nathan Hardie Jones - Stifel, Nicolaus & Co., Inc.: Follow-up question on the order rate and the makeup of the project orders, in particular in IP. Over the last few years, you guys have had some troubled projects in that, I would call them, complex projects. Are the project orders that you're taking now more middle of the fairway kind of projects that you would consider to be relatively straightforward on the execution front? Has the improvement in the operations over the last few years given you the ability to look more at some of these more complex projects with more confidence that you can execute on those? Just kind of what's the makeup of those project orders?
Denise L. Ramos - ITT, Inc.: Yeah. Nathan, the projects that we've been taking right now really are those projects that we know we can execute well. So, those very, very high complexity projects that we've talked about before, those are not the project orders that we're going after and that we're winning. Now, as we improve our execution and as we continue to advance that, we'll evaluate if we want to start getting into more complex projects. But, right now, we've been focusing on what we know we can execute and do it in a way where we've got actually, as I said before, more upside than downside. So, some of the nice wins that we've had recently were in that sweet spot with Dangote (48:39) which we had last year. And then the one that we won recently which is (48:44). It's more of a upstream with our Bornemann pumps. So we're trying to stay within that sweet spot now and then, again, as we progress, we'll see if we can go further than that.
Nathan Hardie Jones - Stifel, Nicolaus & Co., Inc.: Okay. So, over the last couple of years obviously and the oil and gas downturn taking out a lot of capacity, taking out a lot of cost in that, with the markets now starting to rebound, orders picking up, what kind of revenue level could you guys get to before you need to start adding costs back into the business, potentially adding capacity lines, whatever the case may be? Just along those lines.
Denise L. Ramos - ITT, Inc.: Yeah. Nathan, just at a high level here, in terms of adding capacity, we don't need to add capacity. We've got a nice footprint and we've got the capability that we would need to be able to execute with that. And in fact, from that perspective, with all the Lean work that we're doing, we're actually increasing and having more capacity in our facilities. So, that's not the issue. What we would need to pay attention to and to focus on would be the engineers and having enough engineers to be able to execute against these projects. And so, that's something that, as we continue our momentum and as we continue to drive organic growth, particularly on these complex projects, we would be looking to hire some engineers for that.
Nathan Hardie Jones - Stifel, Nicolaus & Co., Inc.: Okay. And then just one last one on the Europe brake pad OE side of the business. A lot of talk out there at the moment from the current administration about putting tariffs on European imported cars. Have you seen European OEs in particular potentially slow down order patterns, nervous that maybe they can't export cars to the U.S., or any impact like that in the market?
Denise L. Ramos - ITT, Inc.: We haven't seen that in any of our awards or the order patterns at this point. We're monitoring that and paying attention to it. But to-date we haven't seen anything. And in fact, July was another good month for us.
Nathan Hardie Jones - Stifel, Nicolaus & Co., Inc.: Excellent. Thanks very much for the time.
Thomas Scalera - ITT, Inc.: Thanks, Nathan.
Operator: Your next question comes from the line of Mike Halloran of Baird.
Mike P. Halloran - Robert W. Baird & Co., Inc.: Hey. Good morning, everyone, and congrats, Denise.
Denise L. Ramos - ITT, Inc.: Thanks, Mike.
Mike P. Halloran - Robert W. Baird & Co., Inc.: So, on the CCT side, maybe if you could give some color on underlying momentum coming out of the quarter, which was obviously a very good quarter, sustainability project funnel, activity funnel, any kind of color like that.
Denise L. Ramos - ITT, Inc.: Yeah. I think what you see with CCT is how well positioned we are in some growing markets. So, commercial aero, we know that that is a growing market, and some of our key drivers there would be the interior components, engine switches. And we've penetrated this new market in rotorcraft, which we've won the OEM business, now we're winning the aftermarket. Defense is another good end-market for CCT, and those underlying market trends are positive and improving. And we're seeing our volumes improving through our distribution channel with that. Oil and gas. Remember, we've got the oil and gas connectors business and there's great execution. We've been innovative in that, and we're a leader in a very niche market. And then along with just those base markets, we're penetrating some of these growing markets like EV charging stations, medical, warehouse automation, and things like that. So, nice positioning from a market perspective. And then, in addition to that, we continue to drive our costs lower. You've seen a lot of productivity flowing through in this quarter. We continue to improve the acquisition that we did with ECS. We've got more work to do on that one. But that's going to provide some momentum in the future, looking at some product line moves from one facility to another and just a general mindset of continuous improvement in that business. So, CCT, not a business we've talked a lot about historically, but one that we're continuing to focus on internally. And I think everybody is beginning to see the results that we're delivering in that business.
Mike P. Halloran - Robert W. Baird & Co., Inc.: And then, on the capital side, obviously balance sheet is in great shape. What are the priorities at this point, excluding internal investment, which I know you guys are very keen on and super focused on, what's the acquisition environment like, what's your appetite for buyback here? Maybe just talk about the balance sheet side.
Thomas Scalera - ITT, Inc.: Yeah. Sure, Mike. I think, as you mentioned, our top priority is the internal and the organic investments, and feeding a lot of the innovation and growth that we've been talking about, in addition to the share gains that we're funding as well. Beyond that, I think, our view on the acquisition pipeline and M&A front is a positive reflection I think of the operational improvements that we've made and kind of the strategic clarity we have in all three of our segments right now. So, all three of our segments are actively cultivating and building a very close to core M&A pipeline. We want to stay in the markets and the categories that we understand well and build out our capabilities there. So our teams are engaged and cultivating. Nothing on the short-term horizon that's materializing, but we're working some things being very mindful of valuation. They're still high and we're going to remain very disciplined. But, yeah, I think there's a lot more engagement across ITT and cultivating the right targeted acquisitions that sit very nicely into our core markets and give us some opportunities for some complementary growth. And typically, we don't see the acquisition materialize, we do return capital through share repurchases and that's been our ammo and I think we'll continue to work that way.
Denise L. Ramos - ITT, Inc.: And the other thing I would add to that is, with the type of performance that we're now seeing from an execution perspective in these businesses, we're beginning to evaluate opportunities in areas that maybe in the past we were not looking to do an acquisition in because we had some of these operational issues that we were dealing with. But we're thinking differently about that now and opening up a little bit to evaluate some more opportunities in other areas that we've not done in the past.
Mike P. Halloran - Robert W. Baird & Co., Inc.: Great. Thank you.
Operator: Your next question comes from Joe Giordano of Cowen.
Joseph Giordano - Cowen & Co. LLC: Hey, guys. Good morning.
Thomas Scalera - ITT, Inc.: Hey, Joe.
Denise L. Ramos - ITT, Inc.: Good morning, Joe.
Joseph Giordano - Cowen & Co. LLC: On IP orders, just curious about the competitive environment for those wins that you have there. Like, how can you maybe talk about the margin profile being booked into backlog and how that's comparing to what's being delivered right now? And also curious, are these wins related to like new projects to the market or are they projects that like E&Cs have won in the past? Because I think this kind of activity is a lot different than what some of the E&Cs seem to be experiencing right now.
Denise L. Ramos - ITT, Inc.: Well, the market remains very competitive. That's why pricing remains also extremely, extremely competitive. So there's really been no change from that perspective with these projects.
Thomas Scalera - ITT, Inc.: Yeah. And, Joe, we like the margin profile of the projects that we've been booking in. It's certainly up from what we've booked historically. And I don't think that's a reflection of pricing. I think it's a reflection of our ability to execute and really realize the full potential in these contracts. I wouldn't say that there's a lot of new to market. I think a lot of these projects that are coming through the funnel and converting to orders now are projects that have been on the board for a while and have been talked about for a while and had been delayed or deferred at other points in the cycle, but are coming through now, especially when we see oil sustaining in the $60 range. We are seeing in the funnel a little further back some new things coming in, but those are going to take a while to play all the way through the engineering cycle. So I wouldn't say there's anything dramatically new coming through. But I would say that our ability to capture the right projects has improved, and as a result, we like the margin profiles that we have in backlog.
Joseph Giordano - Cowen & Co. LLC: Okay. And then, shifting over to CCT, obviously you're on your growth and I don't mean to break up the lovefest here. But how much of that would you break out as pure growth and how much is just recovery of kind of some weak execution in the past? Because I remember when you guys were looking to make the move, the ceiling was something like mid-teens and now the move was to make that ceiling kind of high-teens into the 20% range. And now connectors are kind of still at that double-digit, which is nice to see, but where we were before. So, how much is like market growth and share and how much is just recovering of where you kind of were previously?
Thomas Scalera - ITT, Inc.: Yeah. I'd say, Joe, that it varies based on kind of the category that we're in. Our oil and gas business, I would say, is all market growth and share gains on execution. We have a very strong oil and gas business in connectors and a market leader in, and we're continuing to take share there globally. I think when you get into the defense business, in the aerospace business, which was more impacted by some of the moves of the past, I would say it's probably a 50%-50% split there where we have market growth driving half of that and probably share recovery, and a really good alignment with our customers, particularly as they come in and see the improvements that we've made in Nogales and the commitment that we've made to long-term improvement in performance and on-time delivery. So, I would say, probably aerospace maybe more of a 50%-50% market to recovered share and improving kind of performance coming out of our operations. The other markets, I would say, there's not a significant story in either direction.
Joseph Giordano - Cowen & Co. LLC: Okay. That's fair. And then, last for me, in terms of the auto OEM balance sheet (59:02), have you guys had the ability to kind of push back on contractual price declines a little bit, given commodity price increases?
Thomas Scalera - ITT, Inc.: We're always trying. It's an active, ongoing and never-ending dialogue. I think we have a little bit of opportunity in the back half of the year, 10, 20 basis points here and there, to try to get price to be less of an overhang than it was in the first half of the year. But I wouldn't say that there is any specific moment or event coming, Joe, or any particular negotiation, but I would say that's ongoing and we're going to constantly kind of keep at it. It's also important to note that any of the new awards that we're booking this year, which obviously we've seen some pretty good numbers come up in the new award category, those awards are priced in a way that are much more reflective of the current commodity cost environment. So, that's just a little bit of an offset over time in those categories.
Joseph Giordano - Cowen & Co. LLC: Okay. Good. Thanks, guys.
Thomas Scalera - ITT, Inc.: Thanks, Joe.
Operator: Thank you. This does conclude today's teleconference. Please disconnect your lines at this time and have a wonderful day.